Chris Van Ens: Welcome to UDR’s Fourth Quarter Financial Results Conference Call. Our fourth quarter press release, supplemental disclosure package and updated two year strategic outlook document were distributed yesterday afternoon and posted to our Investor Relations section of our Web site, www.udr.com. In the supplement, we have reconciled all non-GAAP financial measures to the most directly comparable GAAP measure in accordance with Reg G requirements. Prior to reading our Safe Harbor disclosure I would like to direct you to the webcast of this call located in the Investor Relations section of our Web site www.udr.com. The webcast includes a slide presentation that will accompany our two year strategic outlook commentary. On to our safe harbor, statements made during this call, which are not historical, may constitute forward-looking statements. Although we believe the expectations reflected in any forward-looking statements are based on reasonable assumptions, we can give no assurance that our expectations will be met. A discussion of risks and risk factors are detailed in our press release and included in our filings with the SEC. We do not undertake a duty to update any forward-looking statements. With that I will turn the call over to our President and CEO, Tom Toomey.
Tom Toomey: Thank you, Chris and good afternoon everyone and welcome to UDR's fourth quarter conference call. On the call with me today are Tom Herzog, Chief Financial Officer; and Jerry Davis, Chief Operating Officer, who will discuss our results, as well as senior officers Warren Troupe and Harry Alcock, who will be available during the Q&A portion of the call. We will present our updated two year strategic outlook following prepared remarks. In 2014 we again met or exceeded all primary objectives of our plan and to-date have meaningfully outperformed versus our initial full year plan and last year's update. Tom will address this outperformance in detail later in the call. In short 2014 was another great year for UDR. We continue to see strength in all aspects of our business. A quick recap of our team’s accomplishments during the year. First, operations continue to run on all cylinders and delivered strong same-store results across the board with 5.2% NOI growth. Second, the 480 million of developments we delivered in aggregate leased up well with rents and trended spreads hitting our targets. Third, we accretively funded our growth through the sale of 368 million of well priced and well timed non-core dispositions and 100 million of equity issued at a premium to consensus NAV. Fourth, we continue to improve the quality of our portfolio growing portfolio revenue per occupied home by 7% year-over-year. Fifth, we further improved our balance sheet metrics hitting the marks for leverage and net debt-to-EBITDA we set forth at the beginning of 2014. Our successes were recognized with a credit rating upgrade from Moody's to Baa1. Last we grew cash flow per share by 10% a strong rate which resulted in 11% dividend increase and meaningful NAV per share growth. We continue to believe that growth in these two metrics translates into strong total shareholder return overtime. As we enter 2015 we feel very positive about the business and our prospects. Multi-family fundamentals remain firmly in our favor. Steady job growth capable of absorbing forecasted new multi-family supply and augmented by stagnant single-family housing market remains our base case scenario. Secondarily, the majority of new multi-family construction lending is concentrated in the heavily regulated banking industry making it easier to turn off capital spĕkt it if necessary. Our balanced geographic mix of A and B quality communities should continue to generate strong operating results. Our submarket locations are top-notch with better than average walk scores versus the peer average in the vast majority of our markets. Our development pipeline is expected to generate the incremental cash flow and value creation we originally forecasted. Expected additions to the pipeline in 2015 are also forecasted to be highly accretive and we will continue to improve our debt metrics. In the nearly 15 years that I have led UDR, I do not remember being more upbeat about our prospects. We believe that 2015 and 2016 will look a lot like 2014 and that January results only solidify this belief. There remains a lot of runway for growth at UDR and we have the right plan and the team in place to capitalize on those opportunities. With that I would like to express my sincere appreciation to all my fellow UDR associates for their hard work in producing another strong year of results. We look forward to a great 2015 and I will now turn the call over to Tom.
Tom Herzog: Thanks, Tom. The topics I will cover today include, our fourth quarter and full year 2014 results, our balance sheet, debt maturity and capital markets update, our development update, our transactions update and our full year 2015 guidance. Our initial 2016 expectations would be addressed in the upcoming three year plan commentary. First, our fourth quarter earnings results were in line with our previously provided guidance. FFO, FFO as adjusted and AFFO per share were $0.40, $0.39 and $0.34, respectively. A couple of items to note when moving from NAREIT FFO to FFO as adjusted in the quarter. First item, we removed certain legacy assets out of our TRS in 2014 in a tax efficient structure. Completed in the fourth quarter this resulted in the recognition of a 5.8 million one-time income tax benefit that was included in FFO. We excluded this benefit from FFO as adjusted and AFFO. Note that we're forecasting 3 million to 5 million of run rate tax benefit in 2015 relating to remaining communities in the TRS versus the 9 million recognized in 2014 net of the one-time fourth quarter benefit. Second item, we backed out a $2.2 million after-tax impairment from FFO as adjusted related to the 50% sale of our 3033 Wilshire land parcel to Metlife. Our seven year whole period on the parcel and cost capitalized subsequent to acquisition led to the write-down, but we can earn back this impairment if certain written hurdles on the development are met. Fourth quarter same-store revenue, expense and NOI growth remained strong at 4.2%, 1.9% and 5.1% respectively. For full year 2014 FFO, FFO as adjusted and AFFO per share were $1.56, $1.52 and $1.35 respectively. Full year same-store revenue, expense and NOI growth of 4.3%, 2.5% and 5.2% exhibited continued strong demand for apartments and were above our initial expectations provided last February. Next the balance sheet. At year-end our financial leverage on an undepreciated cost basis was 38.6%, on a fair value basis, it was around 30%. Our net debt-to-EBITDA was 6.5 times inclusive of pro rata JVs it was 7.4 times, all metrics improved as planned. On the capital markets front. 325 million of 5.25% unsecured debt matured in January. We intend to refinance some or all of this debt in the first half of 2015. We did not issue equity during the fourth quarter despite trading above consensus NAV as our capital needs were met through asset dispositions. In January we issued 78 million of equity net of fees through our ATM at a premium to consensus NAV. Moving forward we will consider all capital options when funding our growth and will utilize the most advantageous source depending on our strategic objectives, market conditions and pricing. At year-end our liquidity as measured by cash and credit facility capacity was 763 million. Turning to development. We completed two development projects located in Alexandria, Virginia and Huntington Beach, California for 184 million in the quarter. Both are leasing well and bringing a differentiated product to the respective submarkets. We also commenced construction of our 107 million, 3033 Wilshire development in Los Angeles and a 50-50 joint venture with MetLife. In addition, we increased our ownership to 50% in two UDR/MetLife I JV land parcels, Crescent Heights and Wilshire La Jolla both located in Los Angeles. Additional details are available in our fourth quarter press release. At year-end our underway development pipeline totaled 875 million with 72% funded with an estimated spread between stabilized deals and market cap rates near the upper-end of our targeted 150 to 200 basis point range. As for future development, we continue to underwrite opportunities and we’ll take advantage of our land bank. Next, transactions completed in the fourth quarter. We acquired a future development land site in Boston Proper for 32 million through a 1031 transaction. We believe this deal will generate significant value and should commence construction in 2016. Regarding dispositions, we sold three wholly-owned non-core communities in Long Beach, California, Port Orchard, Washington, Puyallup, Washington for 91 million at a weighted average cash flow cap rate of 5.5%. The weighted average IRR for the dispositions was 12%. We also sold MetLife a 49% interest in our 110 million, 13th & Market property in San Diego and a 50% interest in our recently started 3033 Wilshire land development parcel in Los Angeles, for an aggregate total of 62.5 million. 13th & Market generated a strong IRR of approximately 16%. In January we completed the disposition of our 20% interest in our Texas, JV. We expect to ride net proceeds of 43 million on the sale inclusive of promote and disposition fee of approximately 9 million. These will be recognized in the first quarter and full year 2015 NAREIT FFO but excluded from FFO as adjusted and AFFO. This disposition was well timed as it eliminated our exposure at Huston, reduced our exposure to Dallas and generated a strong IRR of approximately 14%. Additional transaction details are available in our fourth quarter press release. On to the first quarter and full year 2015 guidance. Full year 2015 FFO, FFO as adjusted and AFFO per share is forecast at a $1.60 to a $1.66, a $1.58 to a $1.64 and a $1.41 to a $1.47 respectively. For same-store our full year 2015 revenue guidance is 3.75% to $4.25%, expense 2.5% to 3% and NOI 4% to 5%. Average 2015 occupancy is forecast at 96.5%, other primary full year guidance assumptions can be found on Attachment 15 or Page 27 of our supplement. First quarter 2015 FFO, FFO as adjusted and AFFO per share guidance is $0.41 to $0.43, $0.38 to $0.40 and $0.35 to $0.37 respectively. Finally we declared a common dividend of $0.26 in the fourth quarter or $1.04 per share when annualized. With our release today, we’ve increased our 2015 annualized dividend to $1.11 per share, 7% of our 2014’s level and represented a yield of approximately 3.3%. With that I’ll turn the call over to Jerry.
Jerry Davis: Thanks Tom, good afternoon. In my remarks I’ll cover the following topics. First, our fourth quarter portfolio metrics, leasing trends and the continued success we realized in pushing rental rate growth again this quarter and into January. Second, the performance of our primary markets during the quarter and expectations for 2015 and last, a brief update on our recently completed and in lease-up developments. We’re pleased to announce another strong quarter of operating results. Our fourth quarter same-store revenue growth of 4.2% was driven by an increase in revenue per occupied home of 3.6% year-over-year to $1,631 per month while same-store occupancy of 96.7% was 50 basis points higher versus the prior year period. Total portfolio revenue per occupied home was $1,795 per month including pro rata JVs. A robust full year same-store revenue growth of 4.3% was driven by a 60 basis point improvement in occupancy and a 3.8% increase in revenue per occupied home. We see strong rate growth continuing in 2015. Turning to new and renewal lease rate growth which is detailed on attachment 8-G of our supplement, we continued to push rates in the fourth quarter. New lease rate growth totaled 2.1% or 80 basis points ahead of the fourth quarter of 2013, renewal growth remains resilient improving 10 basis points year-over-year to 5.3%. This year-over-year acceleration was accomplished with only a 10 basis point sequential decrease in occupancy. Importantly, our leasing momentum continued into 2015, with January new lease rate growth of approximately 350 basis points ahead of January 2014 and strong renewal growth of 5.2% during the month. This when augmented by stable current occupancy of 96.5%, the 2% rent growth that is already built into 2015 as of the end of 2014, the continued strength in multi-family fundamentals and the additional $100 of discretionary income the average American has on a monthly basis due to gasoline prices has resulted in us starting the year slightly ahead of what we initially budgeted three months ago. Next, rent as a percentage of our residents’ income rose slightly to 18%. Move-outs to home purchase were up 120 basis points year-over-year at 15%, in line with our long-term average. Importantly our full year 2014 resident turnover rate declined by 140 basis points versus 2013, even with the renewal increases at a robust 5.3% only 5% of our move-outs gave rent increase as the reason for leaving in the fourth quarter. Moving on to quarterly performance in our primary markets. These markets represent 65% of our same-store NOI and 71% of our total NOI. Orange County and Los Angeles combined represent 16.5% of our total NOI. Orange County posted sequential revenue growth of 60 basis points and continues to outperform our budgeted expectations early in 2015. Los Angeles is slightly weaker due to our heavy concentration in the Marina Del Rey submarket where we’re encouraged by new job growth in the immediate area specifically from Yahoo. Our current expectation is that both of these markets will generate revenue growth greater than 4.5% in 2015 slightly in excess of 2014. New York City represents 13% of our total NOI. Our downtown assets posted strong revenue growth of 5% in the fourth quarter. We expect continued strength in 2015 as technology, finance, media and advertising employers expand in Lower Manhattan. Although our 2015 forecast revenue of 4.5% is expected to slightly decelerate versus 2014. Metro DC which represents 13% of our total NOI posted positive full year revenue growth of 50 basis points. We expect slightly better full year revenue growth in 2015 above 1% currently. As we will continue to benefit from our diverse exposure of 50% B assets and 50% A assets located both inside and outside the Beltway. San Francisco which represents 11.5% of our total NOI shows no signs of slowing down as renewal and new lease rate growth in January point to another strong year from Northern California. Revenue growth is expected to increase 6% to 7% in 2015 a slight deceleration from the 8.2% growth we realized in 2014. Seattle which represents 6.5% of our total NOI benefited from strong growth from suburban B assets that are less exposed to new supply than A assets downtown. Although new supply will challenge us somewhat in Downtown Seattle and Bellevue we expect 2015 to be similar to 2014 or roughly 6% growth. Boston which represents 5.5% of our total income should continue to see supply pressure downtown but our suburban assets in the north and south shore markets should fair relatively better in 2015. Long-term we like the downtown market and look to continue to grow through development in the submarket. During 2015 revenue growth forecast of between 4.5% and 5% right in line with 2014. Last Dallas which represents 5.5% of our NOI posted 4.2% year-over-year revenue growth in the fourth quarter. We expect new supply pressure in Uptown and Plano in 2015. January results indicate that these submarkets are performing slightly better than initially budgeted expectations. The 2015 revenue growth is still projected slow to roughly 3% from 4.4% in 2014. As you can see on attachment 7-B of our supplement, our 467 home Bella Terra located in Huntington Beach California and our 255 home Capitol View community located in Washington DC will join the same-store pool in 2015. Turning to our recently completed and in-lease up developments. Beach & Ocean, our 173-home, $52 million lease-up in Huntington Beach was 53% occupied at quarter-end and as of today is 67% occupied and 79% leased, after welcoming our first residents just four months ago. We’re currently offering one month of concessions at this community and leasing has been very strong in January with 35 applications taken during Huntington Beach’s slow season. Los Alisos our 320 home $88 million lease up in Mission Viejo, California was nearly 90% occupied at quarter-end. We are on-budget and meeting our lease-up expectations. Finally, DelRay Tower, our 322 home $132 million lease up in Alexandria, Virginia remains challenged by the weak DC market. But we’re confident in its long-term prospects. We are currently offering concessions of two plus months in this oversupplied submarket in order to hold rate and maintain leasing velocity to reach our budgeted occupancy. Of note, in a typical development project a one month concession through the lease up period is fairly standard. When a submarket is seeing lease ups offer less than one month it normally indicates excess demand versus supply and vice versa when lease ups are offering more than one month. If you ever want to gauge submarket strength, shop a sampling of lease ups in the area to see what level of concessions are being offered. With that I will remind those listening that there is a link to our updated two year strategic outlook document on the Investor Relations page of our Web site. We will pause for a moment so that everyone can gather the two year outlook materials as we will lead you through the document page-by-page. I will now turn the call back over to Tom Toomey.
Tom Toomey: Thank you Jerry and I hope all of you who have the presentation up will go page-by-page with our comments directed to those highlighting the page numbers we are on. Starting with Page 3 a couple of high level thoughts. First we view this year's update as a continuation of last year's plan with a few minor tweaks. We believe this continues to be the right plan for UDR and here is why. The plan primarily objective is to drive high quality cash flow growth while incrementally improving our balance sheet and portfolio. In another words consistent sustainable growth that is funded in a safe low risk manner. We believe that successful execution of these objectives will drive strong total shareholder return. With solid apartment fundamentals as a backdrop in 2015 and '16, we believe that UDR still has a long runway of accretive growth ahead, whether that growth comes from operations where we work daily to drive efficiencies through our organization or external growth where we are still finding plenty of development opportunities that create significant value. We will continue to capitalize on the opportunities available to us. So how have we performed versus the plan presented in 2013 and 2014? In short we have met or exceeded all primary operational and financial objectives previously set forth. Some of this upside resulted from strong fundamental backdrop I referenced earlier, but a focus on excellence and execution listening to and serving our customers and continuously improving the business process from the C suite to our community level staff also played a major role. Growing cash flow to optimize shareholder return while also ensuring a great customer experience at our communities and making UDR a great place to work are our most important objectives and we will remain fully focused on executing them. With that I will turn over to Tom to discuss the details of the updated outlook.
Tom Herzog: Please turn to Page 4 as Tom mentioned earlier we have met or exceeded all the primary, financial and operational objectives to-date as set forth in our previous two plans published in 2013 and 2014. In particular our same-store growth over the past two years has outperformed and along with our successful development deliveries have served us the primary driver of our better than expected cash flow growth and improving the leverage metrics. Turning to Page 5 perhaps the most important driver of UDR's value creation strategy is our best-in-class operations. We are continuously implementing revenue growth and cost efficiency initiatives throughout the organization to improve how we do business. As is evident on this page, we have generally produced better top-line growth in our primary markets which comprise approximately 71% of our NOI over the past one and three year periods. But market wins represent the true measure of our operational accomplishments. Win in a market is defined as ranking first among peers and same-store revenue growth in a quarter. The chart at the bottom of the page illustrates our success since 2008 wining a larger percentage of our markets than the peer average in each year. This is a testament to the organization that Jerry and the team have built and the culture of continues improvement that has promoted inside UDR. So how have we maintained our operational advantage and how do we intend to keep it in the future? Please turn to Page 6 many listening to this call are familiar with the primary revenue generation and expense control initiatives we have implemented overtime. These along with potential future initiatives are presented in the table on this page, importantly all of our growth and efficiency initiatives have one thing in common, they either provide our customer a wanted service or allow our associates to their jobs better. Our past initiatives which primarily focused on moving customer services online were a significant success current initiatives as will become evident on Page 7 should continue to drive our bottom-line for years to come and our list of potential future initiatives is extensive. Operation has been and will continue to be a significant competitive advantage for us. This not just because of our superior block and tackling in the field but also because of the creativity our operations team employs to continuously improve the business. Please turn to Page 7 this page lists some of our operational projects that have been implemented over the past couple of years and their potential impact on our NOI. As is evident we have made solid progress on each initiative to-date and our bottom-line has benefited greatly. As we look into 2015 and 2016 there are still opportunities to increase the efficiencies as these initiatives further. Finally we launched a new Web site at the end of 2014. This is a third major revision of udr.com and represents a complete rebuild of our online presence. It is a result of several months of research including the input from customer focus groups that indicated their preferences in an online shopping experience. The new Web site features elements such as online appointment scheduling, enhanced neighborhood, information and comparison shopping tools all of which are available through any device that customer chooses. To-date we're exceeding our initial targets for the site by converting a higher than expected amount of traffic to community visits. Turning now to capital allocation and development on Page 8 development remains the vital component of our value creation strategy. While not as many deals pencil in today’s environment development remains accretive and will continue to be a primary means through which we improve our portfolio and grow our Company. Our underway and completed non-stabilized developments totaled 875 million and was 72% funded at year-end. Most of this pipeline is concentrated in our primary coastal markets. In 2015 we expect to deliver over 225 million of projects. Our annual targeted spend of 400 million to 60 million per year and our targeted trended spread versus cap rates of 150 to 200 basis points have not changed. While construction costs continue to increase so do rents. To mitigate market risk we employ a few tactics. First prior to the development commencing, we demand full drawings and GMAX contract thereby locking in costs. Second we diversify our geographic exposure, our goal is to commence a new development in a target market as the previous development is leasing up. Third, we utilize conservative top-line growth assumptions to underwrite our projects. In 2015 and '16 we will continue to mine our current land bank as well as add new land sites such as our Graybar site in Boston. We're planning four to five starts in 2015 which include one large fully owned project Pacific City and three to four smaller 50-50 JVs with Metlife. As of year-end 2014 our Shadow pipeline was approximately 1.2 billion at our pro rata ownership and represented 400 million to 500 million of value creation assuming current spreads. Please turn to Page 9. We anticipate that our under weighing completed developments as of 12/31/14 will average $0.035 of drag offset by $0.055 of accretion annually in 2015 and 2016. Upon stabilization which occurs at different periods for each project the pipeline is expected to generate accretion of $0.08 per share with growth thereafter. On an NAV basis we expect our pipeline to generate $2.5 per share at stabilization approximately 35% to 40% value creation over cost. Page 10 exhibits some of our recent developments. Please turn to Page 11. As focused as we're on operations and development, maintaining a strong and flexible balance sheet to optimally fund our business is just as important. We exceeded the balance sheet metric goals provided in our 2013 and 2014 strategic plans and we expect further improvement in 2015 and '16. This has also been acknowledged by the rating agencies in 2014 we received a credit upgrade from Moody's to Baa1 and revised a positive outlook from S&P. On the capital markets front our 2015 and '16 capital needs will be funded through a combination of asset sales and new equity and debt, the mix of which will depend on availability and pricing at the time the capital is needed. Please turn to Page 12. The primary objective of publishing this plan is to illustrate how we intend to drive high quality cash flow and NAV per share growth in 2015 and '16. In 2014 our AFFO per share growth was a very strong 10%, in 2015 and '16 AFFO per share growth is expected to average in the 5% to 8% range which will continue to be driven by favorable same-store growth, development earn in and favorable debt refinancings versus in place debt. This was somewhat offset by higher trending interest rate assumptions, a lower tax benefit from our TRS and potential dispositions. We expect the business to drive 8% to 10% NAV growth in both 2015 and '16. Please turn to Page 13. This page provides our '15 guidance, initial '16 expectations and detailed modeling assumptions. In 2016 we're expecting solid same-store and cash flow growth based on still strong third-party job growth expectations against moderating new multi-family supply growth in our markets. In addition, our expected asset sales in 2015 combined with our 2016 entrance to our same-store pool will enhance our same-store mix toward high growth markets. And finally Page 14. Our 2015 top-line growth assumptions for our markets are presented on the map. We expect the West Coast to Northeast to grow at a rate above the portfolio average, the Mid-Atlantic will continue to struggle but it's still expected to outperform relative to our peers due to our 50-50 mix of As and Bs in DC and less direct exposure to new supply inside the Beltway. With that I will open it up to Q&A. Operator?
Question-and:
Operator: Thank you. [Operator Instructions] We will go to our first question from Jana Galan with Bank of America Merrill Lynch.
Jana Galan: Can you discuss the strategic positioning of the Metlife transactions in the fourth quarter in January, are you fine tuning your geographic exposures or were you looking to back fill the 2016 development pipeline? And then do you expect to continue growing with MetLife maybe in joint venture III?
Tom Toomey: This is Tom. With respect to Met, we established this relationship many years ago and see its still as a strategic benefit for the enterprise and that brings us opportunities, we discuss them and we’re going to continue to undertake that on a go forward basis. With respect to the quarter, you really have a series of transactions here where we bought in the two land sites that were part of the land bank that Met owned, we'd started at 4%, bought up to 50%. We typically do that and we’ll probably look at those other remaining sites in the future after we have a pretty good clarity about the product, the zoning and the good use of capital. On the other side, we sold an interest of 49% of our San Diego community which is right across the corner from Strata, and as a result felt that was a good alignment of interest at a great price and welcome Met into that asset and feel that that’s a good investment for both parties. And lastly with the development site that we had for about seven years in Koreatown in LA and looking at expanding our deployment capital across the platform, we thought it was a good addition by having Met come to that. So on the future; I think we take them as we go. I know that we’ll look at the land sites as we get them zoned and more detail around and about investing in them. On a Met JV III, I don’t know if I see that, I like our 50-50 platform that is in Met JV II, it’s a good alignment of interest and we’ll continue to have ongoing conversations with Met.
Jana Galan: And Jerry, can you guess the new renewal if that's for January, and renewal asks for February and March?
Jerry Davis: Sure, January new leases reprised at about 3.6% higher than the prior residential we’re paying. I would tell you that is actually about 350 basis points higher than we were last January. Renewals in the month of January were at 5.2%, which is slightly above where it was last January, call it 10 to 15 basis points. And as we look out over the next two months, we see an acceleration in renewal rate growth, currently on about half of the renewals being fine that we would expect for the month of February, we’re up in the 5.5% to 5.6% range. And as we look at, call it 20% to 25% of March renewals that we’d expect to have completed. Those are actually pushing north of 6% right now. So, you see an acceleration actually in renewal growth which is making us very optimistic and it’s also has shown us that new lease rate growth is probably going to follow. We spent, much of the last six months setting ourselves up to have outsized rate growth, and we did that after we achieved high occupancy in 2014. We've been pushing market rate on new leases mostly to set a new mark so that we come in later and start realizing that on the renewal side. So our renewal growth has lagged a bit over the last four months or so as we look out over the next three to four months, we’ll start to see that acceleration on the renewal side up also.
Operator: We’ll take our next question from Nick Joseph with Citigroup.
Nick Joseph: Tom you mentioned the long run rate for growth and the outlook expect same-store growth in 2016 generally in line with 2015. Can you talk about what gives you the confidence that growth in this cycle will remain above historical trend and can you talk about the largest risk to that base case?
Tom Herzog: Nick, its Herzog. When we look at 2015 and 2016 I think we said it looked a lot of like 2014. We continue to see good fundamentals across our market. We use third party data and our individual market knowledge when considering what we think 2016 growth will look like, and arriving at these numbers. And we’ve looked in third party data providers both jobs and supply, we have a tendency to use Axion, Moody's. From a jobs perspective and I know lot of you have these numbers, but we fell 1.9% job growth in 2014. Looks like it’s probably going to be at least according to the data providers 2.1% in '15 and probably going to 2% on '16. When we look at supply on the other hand, in '14 we're at somewhere around 1.5 or expecting '15 to be somewhere around 1.5% growth and it probably declines a bit and '16 the 1.2%. As we've used this data historically, we've a tendency to look at the jobs to supply kind of 5:1 ratio, but we look at them market-by-market to make them more specific. And in 2014 we had a positive ratio of 1.2, meaning that there would be more new relative jobs to supply. In 2015 we see that ratio according to the data experts being about 1.4 or 1.44. In 2016 it is yet higher but probably will be tapered back down a bit as the full supply comes to pass. So as we relate that to our hard markets, job growth looks better than the national averages with slightly higher supply growth. So we’ll call that maybe a push, but still as a whole very net favorable, all the same things you’ve heard also formations, demographic trends, home ownership we see a lot of runway when we look into 2016, so we feel favorable about it.
Jerry Davis: Yes, I would add one thing Nick, this is Jerry. In addition to all of the national end market factors that Herzog just spoke about. I would include Harry has been developing a pipeline in high rent growth markets, many of which properties will go into our same-store pool as we go into 2016. And at the same time as we use some sales to pay for the development pipeline those sales will probably come more from our slower growth markets, you’re going to net out with new higher growth properties coming in and slower growth properties being sold.
Nick Joseph: And then with regards to the Boston land site that you purchased. Can you talk about what was attractive about that site? And how it fits in with your existing Boston portfolio?
Harry Alcock: Sure Nick, this is Harry. First of all its 32, it’s located in the South end of Boston which is a dynamic location, it's sort of an edge location now but there are is a lot of new activity in that area including a 50,000 square foot whole foods across the street that just opened two blocks from Tufts Medical Center, it's a seven minute walk to the Back Bay of Boston. As we've talked about in the past we want to sort of complete one project in a market and then some point there after start of new one, we’re going to complete our Pier 4 project in Boston during 2015. We would expect to start the Graybar project in 2016, meaning we'll be delivering sometime in late '17 or early '18, $32 million price to center 600 units or 55,000 unit land basis we found attractive as well.
Nick Joseph: And then finally Jerry just in terms of the DC outlook. It sounds like you’re expecting '15 to be better, slightly better I guess than '14. When do you expect actually start to get pricing power in that region?
Jerry Davis: I would tell you actually Nick it’s starting to come now. I won’t call it power, but I will tell you this; we feel like we bottomed in the fourth quarter and our rent was negative 0.6%. I’ve got early indications and I’ve actually seen my January numbers and they actually popped back in positive territory. But we are seeing new lease rate growth in the B product, mostly that’s outside of the Beltway, its going positive. Inside the Beltway new lease rate growth is still slightly negative, and renewal growth in both of those product types are in the 3% to 3.5% range. I would tell you this too, when I look at that 0.6% or so that I’ve realized in the month of January and I bifurcated between Bs outside the Beltway for the most part and As inside the Beltway, the Bs outside the Beltway are probably coming in at about 2.5% positive and my As inside the Beltway are about a negative one in a quarter. So there is still a difference between who is adding the new supply, but again we feel better about DC. We think it will accelerate slightly from where we came in last year, and we definitely feel like the negative revenue growth that we put up in the fourth quarter was our bottom.
Operator: Next to Karin Ford with KeyBanc Capital Markets.
Karin Ford: Jerry I guess just a question on the 2015 same-store revenue guidance. It sounds like you've got 2% already earned in as rent-roll. You’re having a really good January; the same-store pool is getting better. I’m just curious as to why the mid-point of guidance on revenue is a deceleration from what you saw in 2014 given all those factors.
Jerry Davis: That’s a good question Karin. I would tell you when we look at what makes up revenue growth it’s really two components; first is rent per occupied home and the second is change in occupancy. Last year we had a change in occupancy of a positive 60 basis points, and as we look into 2015 we see a decrease in occupancy down to 96.5 which is 20 basis point drop. The more important factor we’re looking at is rent per occupied home and we have been driving rate for the last six months and we see that actually increasing by 40 basis points. Now you’re right the mid-point of our revenue is about 30 basis point deceleration from last year, most of it coming from no occupancy benefit. But I'd tell you we are very encouraged with where we stand in the month of January and what it looks like going forward. We currently have a loss to lease of 3.4%. A year ago my loss to lease was 1%. So it’s 240 basis points higher. So that gives us hope and really good prospects for the next couple of months gaining that. I would also tell you when I look over the last four or five years, we've seen market rents typically go up sequentially each month from January through August then we start to get some of it back each month. We have not seen any month that we did not have a gain in market rent, December of 2013. So it's continuously grown over that time period. And like I said, when I look at how January had started, we're very encouraged by the way we're performing today. And compared to what we budgeted just three months ago, we're excited about '15, we think things look very strong right now.
Tom Toomey: Karin before we get into the next question throws out again. Speaking to the '14 or '15 same-store guidance, I'd like to add to it we had a few different pieces that were issued that indicated that folks thought that our AFFO growth looked a little bit light compared to the strength of the business, and I'd like to address that for just a moment. If you looked at consensus, its showing and this is for 2015, it's showing $1.63. But I will remind you that when you look at consensus, it's always in mix bag. Some are going for FFO, some FFO is adjusted and some their own creation of what they believe the appropriate funds from operations. So that’s how we've heard a measure. But we're at $1.61 against the $1.63. As you guys are modeling, I would ask you to consider there are couple of items to just make sure it's in your model. One is last quarter we had mentioned that upon the sale of the Texas JV which was obviously a favorable transaction for us that reduced our FFO as adjusted by close to a penny per share. And the second thing and it's something that we mentioned about a year ago, I mentioned about a year ago that we're going to be moving certain TRS assets out of the TRS up into the REIT through some tax structuring, and that was going to reduce the tax benefit. That’s about a two penny difference as well. So you add those two together that's $0.03, that equates to about 2%, and that would certainly bridge the gap plus the penny probably against consensus no matter how you measure it. And the other thing as we show 5% to 8% FFO adjusted growth during the 2015 year $0.03 equates to 2%. So that would equate to 7% to 10% growth. And as you know from our strategic plan we've indicated strong cash flow growth has been one of things that we're working hard toward 7% to 10% growth rate is certainly consistent with what we've been seeking to accomplish. So I just wanted to add that in as you're considering remodeling.
Karin Ford: I think you mentioned also Tom in your opening remarks that the strategic plan was essentially unchanged, but as there were some minor tweaks. Can you just give us a quick summary and so what you think the tweaks were from last year's plan to this year's?
Tom Toomey: I'm really minor in scope and nature, I think you are going to continue to see us with our development spend which is probably a little bit less than it was in prior year's asset sales last year exceeded plan, this year we put forward some guidance as total capital requirement the mix may change upon that. That’s probably where I think the tweaks are.
Karin Ford: And then just last question is on the operating initiatives that you guys are so successful on last year. How much of that NOI benefit do you think you guys have harvested? And are there additional initiatives that you're planning to implement for 2015?
Jerry Davis: Yes Karin this is Jerry. I think there is still lag on quite a few of the initiatives we started last year. And if you looked at page seven in the two year strategy. We started out on reducing vacant days if you will. Back in 2012 when we were averaging about 26 days we so far cut five days off of that and we're down to averaging 21 days in 2014. We're going to try to get a few more days off of that this year and our long-term goal today is 18 days, but we’re going to reassess when we get to that point. So we still think there is some room to pick up some reduction there. The biggest item or one of the big items is increasing staff efficiency. We first looked at this several years ago, we deemed our maintenance teams were probably inefficient about three to four hours a day where they are soundly walking from place to place, and we've introduced technology and standards. If you capture a 50 minutes of that which adds about an annual almost $3 million to NOI, we think there is another 1.5 hours to two hours to get. So we think we're only 40% of the way there this year. And I can tell you as I look at the components of what make up my expense growth next year, our expectations as our NIM expense is going down again for the third year in a row by a little over 1%. So there is some juice there. Then the third large initiative that we'll continue this year that we started last year was our outbound call center, what we called in the two year document resurrecting discarded rental lease. We picked up 400 incremental leases last year we feel from this group which boosted our occupancy about 50 basis points. We increased the size of that group but our intent is not to increase the occupancy, it's actually to increase traffic which will probably result in a lower closing ratio at the site, but we think it will drive rates. So we're not going to have to be the cheapest place to live, we can hold out here quality, high paying renters, drive rate more. Whereas last year was an occupancy pickup, we think this year it's going to be more of a rate pickup. I would say there is a few things we're working on, that are in this document. It is hard to tell if we'll make much money in this year but its problems we know we have to solve and that's the resident package lockers or delivery systems, electronic locks we've been working on for several years haven't come up with a good solution but we think when it does it's going to be staffing efficiency as well as add amenities to the residents. And we pick another big one that we've really, we've dedicated some resources here in our Denver office too is reputation management by not doing -- we think we need to get our scores better even though they are better than the average for the industry, we realized a lot of our demographic looks at that metric before they make a buying choice. So we want to work to get our scores up but more importantly we want to listen to what our residents are saying about us and make the UDR community a much better place to live. So those are the things that are one the immediate pipeline. I can tell you we've got about 50 to 60 different items. Some may take years to prepare implementation but we'll tell you about those once we get them rolling.
Operator: Next question will be from Rich Anderson with Mizuho Securities.
Rich Anderson: Just real couple of quick ones, first. Did you mention this one-time infrastructure repair cost and what that was?
Tom Toomey: No I didn't.
Rich Anderson: And what is it, and when is it?
Tom Toomey: Yes it is going to be throughout 2015, it pertains to two projects that we have; one that involves re-piping and one that involves a garage structural repair that's fairly significant. They are both one-time, they are both not going to add or provide a return. And so we felt it appropriate to break it out separately in Schedule '15 which is where you'll find that guidance. And I know your next question is going to be, are we going to include that in our recurring CapEx? And the answer is no, because of the one-time nature of it and the non-recurring nature.
Rich Anderson: So will it be ratably throughout the year or specific quarters or what? Just for modeling purposes.
Jerry Davis: Rich this is Jerry. I think you are going to see first quarter is more planning, I think the bulk of the spend is going to come in the last three quarters.
Rich Anderson: Next question is just on the 1031 exchange; by buying land I wasn't aware you can get satisfied with the 1031 exchange requirements. Is there something you have to do with that land in a specific period of time to satisfy that tax issue? Or is that legal -- not legal or just buying land enough or they would like exchange?
Harry Alcock: Rich this is Harry. The 1031 works or function the same whether it's an operating asset or a land asset, both work equally as well.
Rich Anderson: I wasn't clear on that, so. And then maybe a big picture question for Toomey or whomever. But a lot of shifting around some complexities, with things moving from one bucket to the MetLife relationship. Do you foresee some of those kind of moving buckets some of that moving, activity slowing down in future periods does create some create some noisy situations in certain quarters. So I was just wondering if you could comment on that and what the kind of long-term objective is and where you want to get to in terms of your ultimate relationship with MetLife?
Tom Toomey: Well certainly with respect to Met, I think the long-term goal about four years ago was try to move it to a 50-50 platform. And as you can see every quarter we chip away at that, the remaining aspect to get there is probably about six parcels of land that are currently going through rezoning efforts. And so over probably the next year or two years you will see us evaluate those as to more clarity about the investment opportunity is understood, and they'll move to a 50-50. And at that point I think we pretty much have completed what I would call hand over Met UDR transition will be done, Rich and I think that's a great position to be. You can see we took steps to simplify the organization this quarter with certainly the sale of the Texas JV and realizing a great return. So I think these well might add some complexities Tom has done a fabulous job of laying out the path, the value created in each of them. And we think that’s a continual effort going forward, but certainly things that have been worth undertaking and certainly a benefit to our shareholders.
Rich Anderson: So maybe some moving parts, some noise for this year but then it starts to die down and you get to where you want to be?
Tom Toomey: Yes sir.
Operator: We’ll take our next question from Dave Bragg of Green Street Advisors.
Dave Bragg: And Jerry I wanted to follow up on a point you made earlier which is that your asset sale and rolling of new assets into the same-store pool could move the needle a little bit. So just to help us to have a clear perspective on what '16 could look like relative to '15? How much does that impact your '16 revenue growth if you think about the same-store pool this year, what’s that growth rate in '16?
Jerry Davis: Dave, I don’t have the exact number, I can tell you as we’ve looked at potential dispositions and the assets that are going to come in, we think it’s going to be fairly de minimis, call it 10 to 20 basis points probably at most.
Dave Bragg: And then question for Herzog, when we look at page 11 of the plan, you have debt equity in sale proceeds group together. Your peer AvalonBay provides a constant capital heat map which really provides their view of relative attractiveness of each of those three sources. Could you talk about that from your perspective and how you’ll balance that with your leverage targets?
Thomas Herzog: Sure Dave. We don’t provide heat map but we do in the same kiosk. So, here is how I think lets out. If we look at the three different sources, first look at just cost of equity. If we're showing equity we do it against AFFO yields, just for the per share, so I don’t mean the true cost of equity including growth but the per share cost against AFFO, call it somewhere between 4% and 4.5% cost in that particular year. If we look at sales proceeds, we just look at the cap rate on a cash flow cap rate basis and again ignoring growth. That could be -- it depends on what assets were signed it could be a sub four, it could be six, 6.5 maybe seven. But that’s the type of range dependant on what it is, we’re selling that in which market, which assets, et cetera. When we think about that, we could be issuing debt at call it three, 3.5 today on a 10 year basis. When we look at what it could be in 2015, maybe we say four, maybe we'd say less. So that’s anywhere from 3.3 to four in the current year for newly issued debt. So, when we think about the most attractive source of capital, we have to take into account, we trade in at a premium to NAV, what do sales proceeds look like? Do we have assets that we would really like to liquidate and from a debt metric perspective, however we’re thinking about our leverage, our net debt to EBITDA, fixed charge coverage et cetera. And as you know over the last couple of three years, we’ve leaned toward issuance of less debt or at least keep it neutral, so that we can improve our metrics, we’ve not been a big issuer of equity because the good portion of that we’re trading at a discount, that as we look at it today, frankly we have three very attractive sources of capital and we’ll definitely take into account our debt metrics and we’ll look at each of those, every time we consider, which source of funds we want to utilize.
Dave Bragg: And last question is just back to Jerry. Of course you noted your reduced exposure to taxes but just talk about your broader thoughts on the impact of lower oil on Dallas and on Denver?
Jerry Davis: Sure, I would say Dave from what we’re seeing and what we project to see, these are diversified economies and we don’t see much of an impact to us. I would remind you, in Denver we only have one 50-50 owned assets, so it will have minimal effect on us. And then Dallas to date we see nothing, I would tell you even the January is been a bit stronger than I would have expected three months ago. So, I think when you look at everything that Texas has going for it outside of Huston, the other two markets, they will have some effect from oil prices but not nearly as much.
Operator: We’ll go next to Ian Weissman with Credit Suisse.
Ian Weissman: My questions have been asked and answered, thank you.
Operator: We’ll take our next question from Michael Salinsky with RBC Capital Markets.
Michael Salinsky: Hey, good afternoon guys and just follow to Dave’s question just as we think about dispositions there. How much can you sell in 2015 without pushing up a need for special dividend?
Tom Toomey: We’ve got a decent gain capacity, but Mike it depends on the blend of assets that we sell. You can look at what we’ve sold in 2014, they weren’t all in non-core markets, we had certain assets that we chose to sell in Seattle. We had assets in Florida; we had assets in Norfolk, we had an asset in California. So it depends on which assets we choose to liquidate and what the gain on that is. But we’ve also got the clawback rules in a variety of different things. So we’re not bumping up against any issues around that right now. If we chose to fund our entire development pipeline in 2015 from sales proceeds [indiscernible].
Michael Salinsky: Second question I think you mentioned three to four stretch with MetLife one on balance sheet. Could you give just kind of a dollar amount as we think and then just as you’re looking ahead to '16 there thinking about the capital sources and uses, how much should we expect kind of to start there, just kind of building out the pipeline there.
Tom Toomey: Can you repeat that second part Mike? I missed it.
Michael Salinsky: You gave a number of starts but I'm just thinking in terms of dollar amounts, how much should we kind of -- what’s the dollar amount there just given MetLife for probably three to four of the starts.
Tom Herzog: Yes, hold on a second I’ve got that number here. The starts in '15 will be somewhere around 400 million in total, so that’s the start number.
Tom Toomey: Mike, that’s UDR's share. So we expect to start our Pac City project in Huntington Beach in 2015. We also expect to start a 50-50 JV, 155 units in Mountain View the early part of '15 and then we have two or three others that could start in 2015 UDR share would be 400 million to 500 million.
Michael Salinsky: And finally just the leverage metrics you gave in the strategic outlook don't include your share with JVs. Just given the asset sales into the JV as well as the client commitments with MetLife. Just could you give us kind of an update where you think those metrics kind of play out relative to wholly owned portfolio over the next two years?
Tom Herzog: Let me just start with 2015. We’ve got net debt to EBITDA, in fact let me just me actually go to the range numbers rather than what I have in my model. So, net debt to EBITDA, we’re showing 5.8 to 6.2 the same number with JVs would be somewhere around 6.8, and in 2016, I’m triangulated in a couple of schedules here. Net debt to EBITDA dropped to somewhere, I’m not going range just one, just call it a mid-point of about a 5.4 and it would drop inclusive of JVs to somewhere around 6.4.
Operator: We’ll go next to Derek Bower with Evercore ISI.
Derek Bower: Just a couple of quick ones. Tom can you comment on the reasons for delaying the financing of the January maturity? And maybe what the revolver balance stands today?
Tom Herzog: Yes, the revolver balance, it’s just over 400 million. We’ve got some proceeds that will be coming in and we’re looking at a couple of potential different sources of capital. So it’s sometime in the first half that we expect, we’ve already got a piece of that debt hedged. So that plays into our thinking as well. So with variety of different things we’re thinking about as we think about the timing of debt.
Derek Bower: And then just given the West Cost concentration of the pipeline. Are there any East Coast markets that you’re actively looking for land sites today?
Harry Alcock: Derek this is Harry, we just acquired a land site in Boston for large a projects that we’ll start next year. We are actively looking for traditional sites in Washington DC possibly in New York, in addition to the West Coast assets.
Derek Bower: Jerry, sorry if I missed this, but where is occupancy today or the end of January?
Jerry Davis: Both cases into January and today it’s 96.5.
Operator: We’ll take our next question from Dan Oppenheim with Zelman & Associates.
Dan Oppenheim: I was wondering if you can talk Tom about the outlook and potential risks to it, how much of the lower turnover that you’re seeing has occurred for past few years? You think is due to the shift in the markets where you are into better customer service and satisfaction. How much you think is cyclical sort of it could present a risk in terms of expenses also in terms of unit to that way.
Tom Toomey: I would tell you, I think a lot of is our markets I think when you look at it with our mix of As and Bs, the Bs really hasn’t been moving out as much because they’re not being tempted by the new developments. So that helped somewhat. I would tell you too that we’ve done a better job of lengthening lease terms, few couple years ago our average lease was probably around 11 months and its gotten closer to 12 months and it doesn’t sound like much. It will reduce the number of explorations you're going to have in a any given year by several percent that will help drive it down to. I think our turnover is going to continue at a low level. Our expectations right now is probably be pretty stable with where it was last year we continue to see build outs to home purchase slightly below long-term averages. And we don’t see that picking back up and as far as exposure to new development properties we sell to lot of that last year we don’t see a getting much worse.
Dan Oppenheim: In terms of the 10 year trends we're talking about that in terms of the new lease. How much of that is influenced most the regional mix of lease exploration in terms -- and January clearly would want to have few of those and some of the colder snowier markets. Is there any mix that you saw in terms of just how these aspirations are in January for some of the Northeast versus West Coast markets?
Tom Toomey: We work to keep it down pretty much on a national basis, because there is very few markets honestly where you are going to do better in January. California I will tell you, you want heavier concentrations in the middle two quarters. So it's going to hurt you almost as much as it does place like Boston. So I don’t think there is a significant differentiation across the portfolio, I would tell you though that first in fourth quarter we like to keep our explorations down to about 21% per home account in each of those quarters. And then it gets up into third quarter high as the low to mid 30s.
Operator: Next to Ryan Peterson with Sandler O'Neill. Ryan Peterson your line is open. Please go ahead with your question.
Ryan Peterson: Just back to your outlook on dispositions, given the pricing on Gables recently are you encouraged to sell more of your Sun Belt assets?
Tom Toomey: This is Toomey. I think we'll keep with the discipline that’s worked for us for so many years. We're exposed a lot to the market; we'll see where pricing comes in, the certainty around the buyer and execute accordingly. So I think it always gives us a boarder perspective of the cost of selling assets and we'll continue to do that. I don’t think there is any particular focus on market or an asset I think, we have them ranked, we list them all we'll see where they come.
Ryan Peterson: And then just one other quick question. Can you discuss all the hurdles that you have on the Wilshire development to kind of recoup with the impairment that you took there.
Tom Toomey: We likely said if we meet certain return thresholds on that, we will back the 2.2 million. But we have a partner involved here, so we're not going to disclose those details.
Operator: We'll take our next question from William Kuo with Cowen and Company.
William Kuo: Just on View 34, I was wondering if you could talk about that look like the completion day was pushed back two quarters.
Harry Alcock: William this is Harry. I'll talk; it really was a function of the final element in the building is completing the roof top. We had a few delays in the permitting last summer and just decided intentionally to push the completion of that piece of the project into 2015 which will allow us to complete the balance of the project and give the tenants a rest, this thing's been under construction for two plus years. So we expect to start that here sometime in the next 30 to 45 days and complete it in the second quarter.
William Kuo: And then just a follow up on Texas on Page 14 of the outlook it looks sub 3.5% revenue growth for '15 which is a bit of deceleration from 4Q. Is that a bit of conservative built in there? Or that’s kind of what you guys are seeing on the ground in terms of renewals and new leases that you're getting.
Jerry Davis: This is Jerry. I don’t its conservatism, I'll tell we are feeling the effects of new supply that has hit Austin especially hard over the last year, 1.5 years. We were able to avoid it for the most part last year. But I would remind you we have a small portfolio there, so four same-store assets, one of them is surrounded by new supply and it's definitely feeling it a couple of them are B assets that even there is new supply they paired well last year but they're is starting to feel it. And then one is a B plus product, it's close to the South Lamar project that have been coming up just South of Downtown Austin and it's feeling it. So I probably feel a little better today about Dallas honestly from my portfolio then I do Austin, we've had a good start to the year in Dallas. But Austin is a bit concerning. Now I would tell you they've been good strong markets for the last couple of years but even absent anything from oil new supply is affecting our portfolio there.
William Kuo: Just finally in light of the kind of cost saving initiatives you guys have been doing. I was wondering if you could comment on the differential between the expense growth in the same-store portfolio and in the JV portfolio. Is there something different there or you just aren't able to kind of roll these initiatives into the JV?
Tom Toomey: When you look at it our JV full year the expense growth has been about 5.7%, that's for the MetLife and that compares to our 2.5%. The bigger component honestly this is, I mean real-estate taxes. They comprise over 30%, 33% in both pools and you are just seeing more pressure in some of the markets where the JVs are. In addition it could be that last year and I don't have the details of top of my head, sometimes it's affected by tax refunds, it is tax rates and valuations but it's predominantly taxes.
Operator: We will take our last question from Haendel St. Juste with Morgan Stanley.
Haendel St. Juste: A couple of quick ones here for you guys. So curious looking at your portfolio map, we've talked a bit in the past about your warehouse markets. And just going through the list here of some of those markets, looks like you have maybe about a billion or so depending on what cap rate sort of assumption people use of what I deem sort of non long-term warehouse type assets. Curious in terms of your near-term contemplated asset sales, I am assuming the majority of these the sales are in those sort of warehouse markets. And then as a follow-on, why not accelerate the asset sales in those markets a bit given the rising supply, hearing from the home builders that they are picking up their starts and given the strong asset pricing in those markets?
Tom Herzog: Well just in general I will start and if Tom wants to add something. Let's talk about capital warehouse for a minute. So we've got certain non-core assets and capital market warehouse assets. In the capital warehouse markets I think for the past year or so we've made it pretty clear or a bit longer than that that these are markets that right now are most of them are doing pretty well, we're not in rush to liquidate those assets and some of them are actually producing some pretty strong returns and we don't think we've exhausted their value creation potential. So when we look at and I think I am repeating a little bit what I said earlier or what Tom said earlier that when you look at the 2014 sales there was a diverse mix, some out of Norfolk non-core, some out of Florida that's capital warehouse we have couple of assets that we pruned out of Seattle and one of San Diego just as an example. So we will choose the assets that we feel that have exhausted the value creation potential and from time to time those will also be non-core capital warehouse. That's where we're with that Haendel, Tom anything you would add to that.
Tom Toomey: I think a couple of points to add Haendel and thanks for the question. First I think every company has a certain pool of assets, they are below average and probably over a long-term will liquidate. We've elected to kind of identify what that proposed markets to help our shareholders understand where we are going to be strategically. We've never put a timeline on it, we think it's an economic decision and in that context as long as we're executing our strategies and making good economic decisions we will arrive at that date sometime in the future and be happy with the result. So if it comes along and the world changes economically or asset values materially change one way or another, then I think we could think about acceleration. But right now we're happy with the pace, the redeployment of capital and driving long-term cash flow growth.
Haendel St. Juste: And while I have you just curious on the decision to pare back the three year outlook to two years but certainly it was well received implemented a few years back, clients so far certainly appreciate the view on your look on how you would be running your business or expectations over the next couple of years. I now there is probably not a lot of certainly or maybe valuing then guiding the third year, but it did provide a bit of comfort to some folks. Just curious how you sort of balance those considerations when you guys were contemplating cutting back the three year to a two year plan?
Tom Herzog: Haendel it's Herzog here again. During the last year I and others on the team here had opportunity to speak to numerous investors and one of the things that we heard from investors is there was a lot less value to that third than there was certainly the second year. And because the numbers just get fussier the further out you go. And there were also comments made that by providing the second year it gave more clarity to what those numbers are rather than blending them with the third year. So we asked a variety of different investors how they felt about it and the majority said you know what we would prefer a two year plan, and so with that we moved to a two year plan accordingly. And we don't think we lose a whole lot of -- it provides you more clarity as to why we’re thinking about 2016 and so we see some benefit in that and certainly our investors let us know that they felt the same way.
Haendel St. Juste: Appreciate that, and last one I don't know you guys mentioned or, would you be able to mention just curious on the Met benefit, Met impact to your same-store pool of the new entrance of pool this year, the new assets? The new entrance into your same-store pool just curious as to what benefit they might have on your same-store revenue for full year '15?
Tom Toomey: Yes, Haendel its probably fairly muted it’s really just two properties that are coming in, residences of Bella Terra and Huntington Beach and in Capital View in Washington, D.C. So the volume of additions is very small and when you look at those two markets they probably blend down to about where the mid-point of our guidance is.
Operator: That concludes today’s Q&A session. I’d now turn the call back over to our moderator Tom Toomey.
Tom Toomey: Thank you for your time today and certainly your questions. In closing, we’re happy with 2014 and certainly the progress we made against our long-term plans. As we look at 2015 it’s off to a great start and I repeat a great start. We see a long runway for growth in the company and for the business and so we’re very excited about the prospects not just '15 but beyond that. And we know we’re going to see many of you in the conference seasoned as it unfolds, certainly don’t hesitate to reach out and talk to the team about what our progress is. With that, thank you again for your time today.
Operator: That concludes today’s conference call, thank you for your participation.